Operator: Good morning and good evening. First of all, thank you all for joining this conference call. And now we'll begin the conference of the Fiscal Year 2014 Second Quarter Earning Results by LG Display. This conference will start with a presentation, followed by a division of Q&A session. [Operator Instructions] Now we shall commence the presentation on the fiscal year 2014 second quarter earning results by LG Display.
Hee Yeon Kim: Welcome to LG Display's second quarter year 2014 conference call. My name is Hee Yeon Kim, Head of IR Department. I would like to welcome everyone to our quarterly earnings conference call. I am joined by our IR staff as well as representatives from market intelligence and TV marketing. K.Y. Co [ph] is Head of Market Intelligence Department and Daniel Lee [ph] is Leader of the TV Marketing Team. Next slide please. Before we move on to the earnings results, please take a minute to read the disclaimer. I would like to remind everyone that results are based on consolidated Korean IFRS accounting standards and are unaudited. Next slide please. We have approximately 1 hour for this conference call. During the first part of the call, I would like to highlight our second quarter results, performance and third quarter outlook which correspond to the slides available on our website. Afterwards we will take your questions. Please do not hesitate to contact us after the call if you have further questions. Moving on to revenue and profit on the next slide. In the second quarter, both the shipment and pricing came out in line with our original guidance. The area panel shipment increased by 12% quarter on quarter. Due to the shipment increase, especially driven by growth in larger-sized panels and ultra-high definition TVs, along with favorable pricing conditions, we have recorded the quarterly revenue at KRW6 trillion, increased by 7% quarter on quarter. Shipment increase and positive pricing trend was a positive impact on operating profit side. However, the recent sharp appreciation of Korean currency against the U.S. dollar and China fab preparation expense was a negative factor for the earnings. Especially Korean Won appreciation of more than 41 during the quarter resulted in a minus impact of more than KRW100 billion in the operating profit side. Despite of the strengthening Won in second quarter, we were able to result in an operating profit of KRW163 billion, which increased by 73% quarter on quarter. Operating margin was 3% and EBITDA margin stood at 17%. As we have structurally managed the foreign currency risk from a long-term perspective, the negative impact from the operating result is offset by the valuation gain coming from U.S. dollar currency denominated debt. Through this structural hedging strategy, our bottom line was improved meaningfully during the second quarter. Pretax profit was KRW293 billion and net profit was KRW256 billion. Moving on to Slide 4, looking at our financial positions and ratios. At the end of second quarter, total asset was KRW21 trillion, liability KRW10 trillion and equity KRW11 trillion. Cash and cash equivalents increased by KRW222 billion, resulting in KRW2.2 trillion. Inventory reduced to below KRW2 trillion. Looking at our balance sheet, overall balance sheet has improved during the second quarter. Liability to equity ratio and current ratio improved compared to the end of the first quarter, recording 96% and 106%, respectively. Net debt to equity ratio increased 5 percentage points quarter on quarter, and it was mainly due to the debt increase for our China fab preparation, recording 21%. Moving on to Slide 5, looking at our cash flow. Cash at the beginning of last quarter was KRW2 trillion. Cash flow from operating activities resulted in cash inflow of KRW72 billion, and cash flow from investing activities resulted in an outflow of KRW720 billion. After the cash inflow from financing activities, as a result, the net change in cash was inflow of KRW222 billion, resulting in cash at the end of the quarter recording KRW2.2 trillion. Moving on to Slide 6, I would like to go over our performance highlights. Our shipment increased by 12% quarter on quarter, resulting in 9.4 million square meters, mainly driven by seasonal demand increase in size migration towards bigger display trends. As for pricing, we have witnessed the pricing for some panel size in IT [ph] and TVs to increase continuously during the quarter due to the capacity constraints resulting from the panel-makers' change to more profitable larger-sized TV. Third, due to the increase of larger-sized panels which have relatively lower ASP per square meter, our blended ASP per square meter declined by 2% quarter on quarter to $615. Moving on to our product mix on Slide 7, our TV business was 42% of our revenues, followed by monitors 21%, mobile applications 16%, notebook 12%, and tablets 9%. The said portion of TV and monitors increased by 1% each quarter on quarter due to the growing demand for ultra-high definition products, larger-sized TV and IPS monitors. Moving on to Slide 8 and looking at our capacity. Our production capacity in second quarter increased by 6% quarter on quarter to 11.3 million square meters. And it was mainly due to the ramp-up of China facility during the second quarter. Next we turn to our outlook section. For the third quarter we expect total area shipment in square meters to grow by mid-single digit percentage sequentially due to the growing demand for larger-sized TV and ultra-high definition TV to continue, as well as new product line is anticipated in the small and medium-sized segment entering into high season. As for pricing, we might witness some ups and downs depending on each size [ph] supply/demand situation resulting from the panel-makers' spend mix to more larger-sized TV -- higher value-added products. Thus, overall favorable ASP trend is expected to continue during the third quarter. Under this kind of favorable ASP trend and higher blended ASP sequentially, we are expecting double-digit revenue growth sequentially and mid-single-digit area shipment growth. In conclusion, thanks to area growth driven by bigger size migration in most applications and continued favorable price trend, we expect the profit to increase in third quarter compared to second quarter. But we have to watch the fluctuating FX movements and the sell-through [ph] demand and the related inventory status in most applications as a risk factor for our third quarter earnings. This ends our presentation second quarter -- for second quarter and I would be glad to take your questions. To use time efficiently, please limit to three questions per person. Operator, please proceed to Q&A session.
Operator: Now Q&A session will begin. [Operator Instructions] The first question will be provided by Jong-woo Yoo from Korea Investment & Securities. Please go ahead, sir.
Jong-woo Yoo – Korea Investment & Securities: Hi. Thank you for taking my question. I actually have two questions. First one is about profitability of the mobile and tablet panel in the first half. I remember that the CFO made comments on each application's profitability level in the first quarter earnings conference. If I remember correctly, TV panel had the highest profitability while the mobile application had the lowest in the first quarter due to slow seasonality. Could you tell us about the profitability of each application in the second quarter? And any improvement in mobile applications? And also, how significantly can mobile applications' profitability improvement with volume increase in the second half? Second question is about your guidance for the next quarter. Your shipment guidance of mid to single-digit increase for third quarter seems to be a little bit conservative considering your capacity growth in China fab around high-single-digit increase seems to be more reasonable. Could you please comment on that? Thank you.
Hee Yeon Kim: Thank you for your questions. The answer for your first question is a bit complicated. We cannot deliver each of the business profit margin. But in our cases, in the second quarter, our average operating profit margin was 3%. As you highlighted, our TV business is the highest segment [ph], that margin was higher than our average margin, while our small to medium size such as mobile and tablet, that margin was very tough during first quarter and second quarter as well. But this kind of trend is expected to be a bit changed in the second half, especially small and medium size margin is expected to be improved going forward in second half, thanks to the shipment increase. That's our answer for first question. And your second question, our shipment guidance versus our capacity growth, as you've already seen in our presentation material, our second quarter capacity growth was already 6%. That was a bit reflected our China facility ramp-up. In second quarter, our China ramp-up capacity growth is a bit reflected and also additional ramp-up impact for third quarter, we are expecting our capacity growth should be mid-single-digit or a bit higher. That's why our guidance for the shipment is mid-single-digit. Thus, our utilization ratio under the capacity growth in third quarter is expected to be almost full in third quarter.
Jong-woo Yoo – Korea Investment & Securities: Okay. Thank you.
Operator: Currently there are no participants with questions. [Operator Instructions] The following question will be presented by Nam Hyung Kim from Arete Research. Please go ahead, sir.
Nam Hyung Kim – Arete Research: Thank you for taking my question. I have a question on TV and market demand. Looking at TV and the market, naturally TV market growth seems not as strong as panel market [ph] recovery so far. Do you see any risk from TV demand decline especially after World Cup event in second half? I still see some market in China to be tough [ph]. So overall end-market demand, and also if you can address inventory situation in channel [ph], that would be appreciated.
Unverified Representative: Okay. I'll explain the TV demand side, is actually the TV demand, the quantity went down [indiscernible] so this is very limited, and then mid single, low single, but we have the focus in area business [ph] growth. So, and then area business [ph] growth is high single. So and then [indiscernible] is that market itself is not bad compared to our expectation. Also and then channel inventory and [indiscernible] makers' inventory [indiscernible] last year. For example, the [indiscernible] makers' hot season [ph] inventory level, that depends on seasonality, different from seasonality. But it's, at the moment, the channel inventory low level. Normal level is -- healthy level is six weeks, something like that. [Indiscernible] makers is -- quite healthy level is four to six weeks [indiscernible] channel inventory and the [indiscernible] inventory level is [indiscernible] in line with healthy level.
Nam Hyung Kim – Arete Research: Okay, thank you. And if I can ask one more question on OLED TV, what's your expectation of the loss coming from OLED TV sales? I think until you reach some scale by the end of 2015, I think LGD may incur continued income loss [ph] here. And then if you can update your capacity plan for gen-8 [ph] line for OLED, second half this year, in 2015, that would be helpful.
Hee Yeon Kim: In terms of our expense, yes, our OLED related expense is a bit worrisome. However, we don't think it is expenses. It is kind of investment for the preparation of the future. Please understand we cannot directly mention about our loss amount of OLED side. Anyway, it is very early stages for the OLED production and promotion, and our [indiscernible] is relatively low because of it is very infancy stage [ph]. So it's not that easy to make money at the current situation. However, going forward we will continue to improve our [indiscernible] ratio and also we will increase our capacity in Q4 as well. So combined with this kind of capacity increase and volume scale, together with LED [ph] improvement, we believe our loss-making from the OLED side should continue to decline. And thus we try to enjoy another playground to compete in this kind of tough display market. So for the capacity for OLED, we will expand our capacity in Q4 additionally. In terms of the production [ph] capacity, it might -- it is expected to be 26K together with the existing 8K. However, the off-site [ph] facility would not be that high because we have to consider the LCD larger-size demand. So, off-site conversion [ph] should be limited to the level of [indiscernible] facility at around 8K [ph]. Is it okay for your question?
Nam Hyung Kim – Arete Research: Okay. Thank you very much.
Operator: The following question will be presented by Cang Ting [ph] from MND [ph]. Please go ahead, sir.
Unverified Participant: Hi. Thanks for taking my questions. I have two questions. The first is on high-resolution TV panels. I'm just wondering what's the current portion of the high-resolution TV panels within our shipment, and what do we think this number would be by second half, especially the fourth quarter?
Unverified Representative: Yeah. Well, our UHD TV shipments, this amount for first half of this year, our portion [ph] is less than 10%. But second half we will expand that to more than 10%. Totally end of this year we expect it will be mid-double-digit.
Unverified Participant: Sorry, just to clarify, middle double digit means 15%?
Hee Yeon Kim: Yes. Hopefully yes.
Unverified Participant: Okay, thank you. The second question is on small to medium size panels. Given that the third quarter area growth we're expecting to see mid-single digit range, does this mean that the fourth quarter momentum would still be upward, especially on small to medium size panels?
Hee Yeon Kim: Upward momentum for third quarter or fourth quarter? Question is related --
Unverified Participant: Fourth quarter.
Hee Yeon Kim: Fourth quarter? Yes, we are also expecting fourth quarter should be better than third quarter, although we have a constraint of capacity. Actually capacity consumption for the small size is very small. So we are expecting better shipment growth quarter by quarter.
Unverified Participant: Thank you.
Operator: The next question will be provided by Eric Lin from CIMB. Please go ahead, sir.
Eric Lin – CIMB: Hey. Thanks for taking my questions. I've got two questions. Number one, on the variable cost level, it's, on square-meter basis. I think second quarter the variable cost did not come down. So should we -- I just want to know why is that. And when we move on to second half, the increase of shipment is more medium size panel, together with higher resolution UD TV panel. The change of product mix will increase ASP, but should we assume the variable cost will also go up? That will be my first question.
Hee Yeon Kim: Your first question, if my understanding is correct, your first question is our second quarter variable cost should drop, but actually variable cost is not that --
Eric Lin – CIMB: The cash cost.
Hee Yeon Kim: Cash cost.
Eric Lin – CIMB: Cash cost, square meter, yeah.
Hee Yeon Kim: -- due to our mix issue, and also as we highlighted, because of the China facility preparation we have to record fixed costs as well as cash costs. Preparation of China facility, we have to hire employee and also we have to -- learning costs -- learning program and learning cost to improve our first two [ph] China facility. This is also one of the reasons.
Eric Lin – CIMB: So can you separate the impact of those two factors? Number one is product mix, number two is China fab ramping up. For the product mix alone, should we assume that product mix change in second half will also increase the cash cost per square meter?
Hee Yeon Kim: Actually for now I don't have the data at this point. We will get back to you on that after earnings conference call. And then your second question, our shipment trend based on application for the third quarter. Actually TV and IT segmentation, our shipment growth -- our shipment growth -- in case of TV and mobile and tablet, our shipment growth should be higher than our guidance. In case of small and medium size, the shipment growth should have been double-digit, but TV size should be high single digit. But in case of IT segment, our area shipment growth should decline despite of the stronger market demand situation. That's because of our capacity conversion in -- to mobile division.
Eric Lin – CIMB: That's for third quarter, right?
Hee Yeon Kim: Yeah, that's third quarter.
Eric Lin – CIMB: Great. Thanks a lot.
Operator: Currently there are no participants with questions. [Operator Instructions] The following question will be presented by Ryan Brine [ph] from Thomson Securities [ph]. Please go ahead, sir.
Unverified Participant: Thank you. Could you please talk about your planned capacity ramp for flexible displays? Has any decision been made about the Gen 6 facility?
Hee Yeon Kim: There are lots of noises, it's very confusing. Your question is related to flexible display capacity, is that right?
Unverified Participant: Yes, it is.
Hee Yeon Kim: Our capacity for the flexible display was 6K [ph] based on 4.5 generation. We are expecting this kind of capacity being doubled in second quarter this year -- second half of this year.
Unverified Participant: Thank you. And any decision made about the Gen 6 facility?
Hee Yeon Kim: Gen 6 facility, convergence for the flexible OLED. It's not decided yet. Actually depending on the market demand situation and customers, or demand situation together with the wider application expansion, they should be our critical points [ph] for decision-making.
Unverified Participant: Thank you very much.
Operator: Currently there are no participants with questions. [Operator Instructions]
Hee Yeon Kim: Operator, if there's no questions to wait, we will end this presentation and conference call.
Operator: There's one participant with a question.
Hee Yeon Kim: Okay. Yes.
Operator: The following question will be presented by Eric Lin from CIMB. Please go ahead, sir.
Eric Lin – CIMB: Hi, Hee Yeon. Just one follow-up question on the UD TV. So I understand that you are promoting a very cost-competitive UD TV in the marketplace. So what will be the price get [ph] to full HD panel on a like-for-like base?
Unverified Representative: Okay, this amount actually the premium for the UHD TV [indiscernible] is around -- for the high-end products, on the 30% to 20%. And for the -- any product for the mainstream or [indiscernible] is around 10% to 20%. Our current price is actually following the same price premium.
Unverified Representative: [Indiscernible] add up the information, depends on the region by region is different. China market is -- UHD premium is [indiscernible] 40%, but clearly the USA market and Europe markets averages are two times higher than [indiscernible] premium. So in terms of the region, region by region is different premium, yeah.
Eric Lin – CIMB: Okay. So what you mentioned is for panel the price get [ph] is about 1.2 to 1.3 times, but for [indiscernible] could be 1.4 times in China and 2 times in Western countries, right?
Unverified Representative: Right.
Eric Lin – CIMB: So should I assume that for the UD TV panel, you will have better margin compared to full HD?
Hee Yeon Kim: Definitely.
Eric Lin – CIMB: Okay. Thanks a lot. That's all from me. Thank you.
Operator: Currently there are no participants with questions. [Operator Instructions]
Hee Yeon Kim: Operator, if there's no question, we will end this conference call. On behalf of LG Display, we thank you for participating in our conference call. Should you have further questions, please contact either myself or my colleagues. Thank you.